Operator: Good day, ladies and gentlemen, and welcome to the Superior Plus fourth quarter results. [Operator Instructions]. As a reminder, today's conference is being recorded. I would now like to turn the call over to Mr. Luc Desjardins. Sir, you may begin.
Luc Desjardins: Well, thank you, Victor, and good morning, everyone, and welcome to Superior Plus conference call and webcast to review our 2017 fourth quarter results. I'm Luc Desjardins, President CEO. Joining me today is Beth Summers, Executive Vice President and CFO; Darren Hribar, Senior Vice President, Chief Legal Officer; and Rob Durand, Vice President, ER and Treasurer. For this morning's call, Beth will start by providing a high level overview of our financial results for the fourth quarter, which were released yesterday and an update on our 2018 financial outlook and then I will close with an update on Evolution 2020 strategic initiative and review of 2017 accomplishments, including our business development activities in 2017 and coming in 2018. I'm pleased with our fourth quarter and full-year 2017 performance. Quarter 4 '17 was a record fourth quarter with $109 million in adjusted EBITDA, 28% increase in the OCF per share compare to quarter 4 2016. We also at OCF per share in 2017 of $1.75, which was at the top end of our 2017 financial outlook. Following the quarter end, Superior completed the acquisition of the retail propane distribution assets from high-grade oral and an independent propane distributor in Ohio. We just bought the propane division of that and the acquisition is our fourth tuck-in - first of the tuck-in and the 2018 and complements our previous acquisition in Ohio. We are confident we will meet or exceed our tuck-in acquisition of targeting 2 to 4 per year and 2018. On February 1, 2018, we issued $220 million at 5.125 senior unsecured notes maturing in 2025. The proceeds of this insurance will be used to repay the outstanding principal amount of $200 million in senior unsecured notes due in 2021 plus the redemption premium of any accrued interest. We were pleased with the outcome of the financial and the ability to expand our maturity profile at a low coupon. We've also signed agreement with third-party to sell the propane assets required by the consent agreement we entered into the competition Bureau as part of the Canwest acquisition. Both transactions are subject to approval of the completion Bureau and other customary closing conditions. We anticipate closing the transaction early in the second quarter of 2018 and we are excited to move forward with the full integration for the remaining side of Canwest and Superior Plus and Western Canada. And now with that, let me turn the call over to Beth.
Beth Summers: Thank you, Luc, and good morning, everyone. Before I begin, I'd like to remind you that some of the comments made today may be forward-looking in nature and are based on Superior's current expectations, estimates, judgments, projections and risks. Further, some of the information provided refers to non-GAAP measures. Please refer to the annual MD&A for further details on forward-looking information and non-GAAP measures. I would like to encourage listeners to review the management discussion and analysis posted on SEDAR and our website, yesterday, which includes financial information for the full year and fourth quarter as we won't go over each financial metric on today's call. This is allowing us more time to move quickly into question and answer period. Overall, we're pleased with the fourth quarter results. Consolidated adjusted operating cash flow, or AOCF per share before transaction and other costs was $0.69 per share, which was 28% higher than the prior-year quarter due to an increase in adjusted EBITDA, partially offset by increased interest expense. For the full year, AOCF per share was $1.75, which was at the top end of our previously disclosed 2017, financial outlook of $1.50 to $1.75 per share and 31% higher than 2016. This is primarily due to an increase in adjusted EBITDA, partially offset by an increase in interest expense. Superior also incurred $4.7 million in transaction and other costs in the fourth quarter related to the Canwest acquisition and tuck-in acquisitions. Transaction and other costs were $4.2 million lower than the prior-year quarter as the prior year included transaction costs related primarily to the acquisition of Canwest and restructuring costs in Specialty Chemicals and Energy Distribution. For the full year, transaction and other costs were $33.1 million, a decrease of $17.1 million compared to the prior year, primarily due to a decrease in the number of significant transactions. Turning now to the individual business results. Energy Distribution EBITDA from operations, including Canwest, for the fourth quarter was $81.3 million compared to $59.8 million in the prior-year quarter, a $21.5 million increase. This increase was primarily due to contribution from Canwest and higher gross profits in Canadian propane distribution, USRF and the other services segment. Canadian propane distribution gross profit increased $27.1 million, primarily due to contribution from Canwest and higher volumes related to colder weather and organic growth initiatives, partially offset by lower average margin. Sales volumes increased $224 million leaders driven primarily by incremental volumes from Canwest higher retail volumes driven by colder weather and organic growth and higher wholesale volumes related to continued benefits from our investment in sales and marketing initiatives focused on selling more propane and butane to third-party customers. In the fourth quarter, Canwest delivered $140 million leaders and generated EBITDA from operations of $17.1 million, which exceeded our expectations for the business, primarily due to colder weather in Western Canada and higher than anticipated activity in the oilfield and construction businesses. Average retail margins were $0.18 per liter compared to $0.211 per liter in the prior-year quarter and $0.175 in the third quarter. Average margins were lower than the prior-year quarter, primarily due to weaker wholesale propane supply market fundamentals. Average margins during 2017, were $0.187 per liter, which were lower than 2016, average margins of $0.224 per liter. This is primarily due to the weaker wholesale propane market fundamentals, a decrease in regional arbitrage opportunities and the impact of the growth in the wholesale propane sales volume, which were lower margin. USRF gross profit modestly increased $9.6 million, primarily due to higher margins and higher sales volumes related to colder weather and contribution from the tuck-in acquisitions completed in the second half of 2017. Sales volumes were 4 million liters lower than the prior-year quarter, primarily due to a decrease in wholesale volumes related to sales and marketing initiatives focused on more profitable wholesale business, offset in part by an increase in residential and commercial volumes related to weather and contributions from docket acquisitions. Average unit margins were $0.142 per liter, an increase of 23% compared to the prior-year quarter, primarily due to sales mix, partially offset by the impact of the stronger Canadian dollar. Other services gross profit increased $2 million compared to the prior-year quarter, primarily due to contribution from Canwest. Adjusted operating and administrative costs were $97.9 million in the fourth quarter, a $17.2 million increase compared to the prior-year quarter, primarily due to incremental expenses from Canwest and higher sales volumes. Consistent with our disclosure in Q3 2017, superior Energy Distribution EBITDA from operations for 2018 is anticipated to be higher than 2017 due to the contribution from Canwest and tuck-in acquisitions completed in the Northeast U.S. and Canada. Turning now to Specialty Chemicals. EBITDA from operations for the fourth quarter was $35.5 million, an increase of $1.3 million compared to the prior-year quarter, driven primarily by higher chlor-alkali [indiscernible] and volumes related to improvements in the North American chlor-alkali markets. Adjusted gross profit was higher than the prior-year quarter, primarily due to an increase in chlor-alkali sales volumes and increase in chlor-alkali net backs, partially offset by an increase in sodium chlorate production costs and a decrease in realized gains on the translation of U.S. denominated working capital. Hydrochloric acid sales volumes increased 30%, primarily due to higher oil and gas drilling demand in the U.S. and caustic potash sales volumes increased 18%, primarily due to higher demand from the agricultural sector. Caustic soda netbacks increased 17%, due to higher North American demand and the positive impact of growth in exports from the U.S. Gulf Coast. Hydrochloric acid netbacks increased 59% compared to the prior-year quarter due to improved demand. Adjusted operating expenses were $37.1 million in the fourth quarter, modestly higher than the prior-year quarter primarily due to an increase in distribution costs. Consistent with our prior disclosure in Q3 2017, Specialty Chemicals 2018, EBITDA from operations is anticipated to be consistent to modestly lower than 2017, primarily due to the anticipated impact of increases in electricity mill rates and a weaker U.S. dollar on the U.S. denominated revenue and EBITDA, partially offset by the continued strength in the chlor-alkali business. Lastly, the corporate results and the consolidated financial outlook. Corporate costs were $1.7 million higher than the prior-year quarter, primarily due to an increase in incentive plan costs and professional fees. In the fourth quarter, superior had realized gains on foreign currency hedging contracts of $1 million compared to realize hedging losses of $1.5 million in the prior-year quarter due to an increase in superiors effective average hedge rate. Interest expense was $4.4 million higher than the prior-year quarter due to increased average debt and effective interest rate. Debt was higher due primarily to the acquisition of Canwest and the tuck-in acquisitions completed in 2017. On Superiors debt and leverage, at December 31, 2017, the total-debt-to-adjusted-EBITDA leverage ratio was 3.3x, which is in line with our 2017, targeted range of 3.2x to 3.6x. For December 31, 2018, we anticipate total-debt-to-adjusted-EBITDA in the range of 3x to 3.4x, which is modestly above our long-term goal of 3x. We're anticipating achieving our goal of 3x by the second quarter of 2019. We're confirming our 2018 AOCF per share financial outlook of $1.65 to $1.95 released following Q3 2017. We're also confirming our 2018 adjusted EBITDA guidance of $295 million to $335 million. I'll turn the call back over to Luc to provide an update on our operations, business development activity and outlook for 2018.
Luc Desjardins: Well, thank you, Beth. I'm proud of our compliment in 2017, as we laid a foundation for Evolution 2020, Destination 2015, was focused on fixing the operations, publishing a solid platform to grow the businesses and Evolution 2020, is focused on using that platform to grow EBITDA and cash flow through acquisition, organ growth and continuous improvement. I would like to highlight some of key accomplishments in 2017. We deployed more than $500 million of capital acquiring Canwest and completing 5 tuck-in acquisition in both Energy Distribution and 1 in Specialty Chemicals. We grew Canadian propane distribution volume by 360 million liters or 27% due to the contribution from the acquisition of Canwest. Organic growth initiatives and wholesale and retail propane and colder weather in the fourth quarter. Increase the number of customer delivery locations by Canadian propane distribution retail business by 4% further demonstrating our dedication to growing the business to a digital platform, enhance customer service. Just want to repeat that 4% growth is internal growth, which is not related to weather. So major growth in the best case organic growth of the Corporation and the energy business. Achieved gross profit growth of USRF the focus on retail propane growth and the reduction in lower margin distilled business, which we plan to do. Through the acquisition of IBI, we moved closer to the end used customer in sodium chlorite. A strategy we can apply to the sodium chlorite business as well, which is anticipate to grow our gross profit and probably do more internal growth as the years unfold. Completed two debt insurance for $400 million in aggregate at a coupon of five in the quarter with significant demand providing long-term financing and enhancing our capital structure. We reached an agreement with Canada revenue agency to provide improved certainty on our tax horizon in Canada. We're in a great position to deliver on Evolution 2020, goal and achieve EBITDA from operations, which we had announced $50 million to $150 million compared to the 2016 results. The anticipated EBITDA growth will come from contribution from the base business of Canwest, we established run rate synergy of $20 million, which are expected to be achieved by the second quarter 2019, as well as the improvement in chlor-alkali business, tuck-in acquisition contribution in organic growth. In my six years leading superior, we have had great success, but I do not remember being in such a good position as we are in today to deliver on increased shareholder value from a business perspective, my focus is on business differentiation and internal growth, continue momentum on acquisitions and building a leadership and team capable of being the best class in the organization businesses across all of our businesses. On a final note, I would like to mention Superior will be hosting an Investor Day on June the 1, 2018, at 1 King West. We will provide an update on our integration of Canwest, which will be partly achieved and realization of synergy as well as update on the Evolution 2020, and other acquisition we could achieve by then. With that, I would like to turn the call over to the Q&A.
Operator: [Operator Instructions]. And our first question will come from the line of Jacob Bout from CIBC.
Jacob Bout: Maybe just help sort of bit on the improvement on the Energy Distribution EBITDA and just the buckets. So basically it's up, I guess, $27 million roughly year-on-year from the buckets will be Canwest, the higher sales volumes in the organic growth.
Luc Desjardins: Well, the Canwest contribute about $17 million and then we have had the weather in the last quarter has helped somewhat, but I would say, if you take the rest of the growth, internal growth was 4% base case and that's just a bit less than 50% almost as much as the weather.
Jacob Bout: And then how much was the offset on the differentials?
Luc Desjardins: The offset.
Beth Summers: That would have been roughly $5 million.
Jacob Bout: Roughly $5 million. Okay. And then the - so some positive news on the chloride market with the shutdown of that [indiscernible] plant, but I know you've said in the past that pricing impact doesn't impact Q1 until 2019, because of the annual contracts, but is there any volume pickup as a result of that?
Luc Desjardins: It's probably something we'll know later during the year. The overall capacity of that plant represents, from our calculation, about 7% of the market. You could make an assumption, which we're not sure about that they would bring product back from export and seven - over and all capacity less could become than that from an overall demand and supply, because they could decide to bring import back which - export back and we have no proof of that and we don't know. So it certainly would bring - it's good amount. It's a big plan. It certainly brings the overall capacity and America was down. The result of that, you're absolutely right, we've signed contract with Price and we're going to live with those in 2018, and then for the renew for 2019, hopefully, that kind of demand, supply getting tighter would help us from a pricing to at least pass through energy costs and other costs and hopefully a little bit more than that in 2019.
Jacob Bout: And then what are the volumes of chloride that you're exporting right now and what are you targeting?
Luc Desjardins: We were at 15% of an overall. We're now 17% as of 2017. 17% of our overall chloride capacity.
Jacob Bout: And is there kind of a natural ceiling on that or how should we think about that?
Luc Desjardins: It probably will go up more because we're negotiating us, we're speaking with south of Europe opportunity. So if that comes through, we'll know this-month or early March. If that comes true we'll end up around 20% mark for export.
Operator: And our next question comes from the line of Nelson Ng from RBC capital.
Nelson Ng: Could you guys give some color on the, I guess, the acquisition price for high-grade?
Luc Desjardins: So we're very fortunate, because we brought a larger independent in Ohio unless you tag along the $1 million EBITDA of the smaller amount you pay around 5x to 6x but there's a bit of synergy because we have the large independent so net will be less than 5x.
Nelson Ng: Okay. So the EBITDA contribution for high grades is pretty small, you mentioned.
Luc Desjardins: Yes. It's $1 million
Nelson Ng: Okay. Got it. And then for the asset sales at Canwest, I think, are these like all 14 sites? Like everything that you committed to selling with the competition Bureau and with the...
Luc Desjardins: Yes. We're very, very pleased.
Nelson Ng: And then, I think, when you mentioned those 14 sites, I think, you previously said that was like less than 5% of revenues and less than 5% of EBITDA. With the sales price, I guess, less than 5% of the Canwest purchase price and?
Luc Desjardins: I'm not sure I can detect your question properly. We sold it for a very good multiple. Close to what we trade at before today. So we're really excited about having a good buyer and may be able to carve out those and move on to do our good sell of what we have to sell.
Nelson Ng: Okay, got it. And then just on the chlor-alkali side. So the sales volumes improved to, I think, 341,000 metric tons up from 307. What's the practical capacity of your facilities? And is there room to further improve volumes in 2018, on the chlor-alkali side?
Beth Summers: I think, from our perspective, the way that we're focused from an outlook is that, the volumes would be consistent, may be modestly a little higher on the HCL side, but consistent with the volumes that we would have seen in 2017. That said, we are anticipating the netbacks to be higher next year.
Nelson Ng: Okay. And then just one last final question. Could you guys just quickly touch on U.S. tax reform and the impact on, I guess, near-term and longer-term cash taxes? I think, I noticed your 2018 number assumes $5 million to $10 million of cash taxes, but in total, in all your regions, but could you just mention specifically in the U.S.?
Beth Summers: Sure. So Nelson, our outlook would still be $5 million to $10 million in cash taxes. We do see from the changes there will be an immaterial impact, less than $1 million with a portion of the U.S. tax change and that surround the Btax the base erosion Antabuse. Tax portion We are in a position where we have tax losses Antabuse or pools in the U.S. So we don't anticipate right any other impact and we will look out going forward, obviously, looking at how the detax will affect us going forward.
Operator: And our next question comes from the line of David Newman from Desjardins. You may begin.
David Newman: Just on the propane margin at $0.18. It kind of hits in the low end of your guidance, I think, about $0.18, $0.20 and if I look at through the arbitrage opportunities, which are last and more wholesale. If we're looking out would you say - should reflect a lower end of the guidance for '18?
Beth Summers: Yes, I think, that's fair. We're still from an outlook perspective, $0.18 to $0.20 is a good way to look at it. It's part of your question there was sort of our outlook on what we're seeing on the differentials or the fundamentals.
David Newman: Yes, both things you're wholesale volumes continue to rise rapidly and, obviously, that's great news, but the arbitrage just doesn't look like it's there as it used to be. So kind of looks like it might be the lower end of the range, I think, that's what you're saying, right?
Beth Summers: Yes, I think, that's fair for 2018. We have seen a little bit of strengthening from that perspective in the early part of the year, but from our perspective, we're assuming we're going to see fundamental similar to what we saw in 2017. So that's a fair comment to think between the $0.18, $0.20 would be the lower end.
David Newman: Okay. And then on the setup for 2018 on Specialty Chemicals. As I look at it, you're seeing caustic continue to rise, hydrochloric acid continue to rise, electricity rates there has been some industrial pushback in that front and then the cores of Axel and Chemtrade taking capacity of the market. As your view changed at all in terms of, I know, you're still guiding to be lower year-over-year year but is the setup here such that with the price increases, electricity maybe not being 5%, maybe I don't know, if you're still sticking with that, but maybe can you give us a sense of what your view is now and how is it changed?
Luc Desjardins: Yes, we're overall, starting the year very well and when it comes to electricity, we have a big plant in BC and we're within a week of news that it's probably going to be zero versus 5%, so we are excited about that and the queries expecting 5% and it's going to be like 3.5% and then Quebec, it's been zero. So there is positive news. We haven't baked it in and while we kept the guidance as it is, because when early February. So we're - but if you ask me from a trend of everything, energy as well as chemical. We are starting very well.
David Newman: Okay, we're good. I guess we'll just leave to that for the Investor Day. And lastly, just on Canwest. If you'd owned it since the beginning of the year, it looks like it might be $42 million, $43 million, and then if I add in further realize synergy that you expect to get in '18, 5 to 10, it looks like you'll be more in the low 50s range, is that fair to say in terms of Canwest total EBITDA contribution for '18?
Luc Desjardins: Yes, I think, you're pretty close.
Operator: And the next question is from the line of Joel Jackson from BMO Capital Markets.
Joel Jackson: Now that we've got Canwest fully integrated. Can you give an idea of assuming normal weather on the Canadian propane side. What sort of like the run rate volumes and liters we'd expect from the different buckets of Canadian propane, commercial, industrial wholesale et cetera then we can residential that we can sort of model end of average?
Luc Desjardins: Yes so I'll start, and if Beth might add some color to it. So we're very, very - no, we've been working hard for years on differentiation, the simplification with customers and having sales and marketing and developing our culture across Canada. And we're now have the wheel turning with a bit of wind behind us. [indiscernible] we've got a 4% internal gross. Always kind of market that we do 2% more in the market. So it's at least 2% is getting. I'm not sure it'll stay forward for many years to come, but I'm glad it's around - more than 3% growth internally and then from another growth in Canwest, I think, the number that was mentioned earlier was - is probably right, but we have the tendency here to not forecast aggressively so we've kind of took the industry forecast and the bankers and we're put the best case of Canwest more realistic numbers and it's happening - depending the oil field that's about 50% of Canwest's volume. Certainly, trading positively and I'm thinking more of 2019 to really have a good upside swing on the EBITDA base case. So remember, $40 million is on its way up to more than that, because EBITDA growth base case, than there is a $20 million synergy coming in and you're right, at one point Canwest the $60 million with the base case so to take in 2019 and switch the oil activity continues to think we'll have a base case of $50 million is not hard to think that was a base case EBITDA plus then the [indiscernible] I might have not answer it properly or missing something.
Joel Jackson: What I was trying to get out is on your Canadian propane business, what is sort of the run rate volume in millions of liters? Do we get affected to do in the different buckets of the business? Assuming average weather.
Beth Summers: Yes. And maybe a way to get at that is sort of starting in Q4. Canwest could be part of our Energy Distribution reporting and if you want the historical results prior to that then you could, I mean, we have on Page 9 of the MD&A and then it gives some public disclosure, I'll will give you what those pieces are.
Joel Jackson: I have all that. I was just trying to see if - now that you're re-segmenting a bit subsegments how they disclose it, it's fine. How they disclose it, how you disclose it. Just so we have adjust now that you have integrated. What kind of the run rate volumes are average weather?
Beth Summers: Okay. Yes, and Joel, maybe the best way to do this is offline. We can help you walk through and point you to the disclosure and the best way to do that from a modeling perspective.
Joel Jackson: That's fine. I just want to see if - just so we've, obviously, mold it for a longtime. Wanted to see if now you've integrated the way you have segmented is a bit different, that's fine. A few months ago, maybe wanting to do not 2 to 4 tuck-ins in 2018, but more like 4 to 6 like in '17. Is that still your objective or is 2-4 the right way to think about it?
Luc Desjardins: Well. I would like to do 4 to 6 or bit fortunate. Because you never - it's hard for us to protect and, I guess, you all probably know it by now we're not very aggressive when we go out and we want to be realistic. So 2 to 4 looks extremely good and kind of we can almost touch them. [Indiscernible] can it be 4 to 6 then it all depends of the market, the opportunity, the buyer, the seller getting ready this year or they want to wait another year. So hard to have a control, but one thing that we're surprising yourself is more and more is the MLT in the states are kind of on the slowing down of acquisition, because of their situation and we're ramping up and we have a backlog that's more than we expected and we kind of share so we could say 2 to 4, should we expect we might go 4, 6, could be. We'll know more in the next quarter.
Joel Jackson: Okay. And finally with the North Vancouver chlor-alkali plant having submissions again had some in the fourth quarter, had repair in April. Have you seen any uptake out of Wisconsin and Saskatchewan from your business from that? And would you expect a little uptake in the first half of the year from some matters regionally?
Luc Desjardins: No. I think, the market is so big and there are so many large players that we're really - when we have our Saskatchewan plant get filled up right away, because transportation and salt in the basement it's like not too hard when the market come back to fill that and in Wisconsin is more about the U.S. and location is what makes us do well when the market comes back. So for us, not to have the ups and downs of our competitor in Western Canada with their situation really not an impact for us. I mean, we're too small to feel it, but probably have the large player filled up that GAAP.
Operator: And our next question is from the line of Patrick Kenny from National Bank Financial.
Patrick Kenny: Many congrats on a strong first quarter with Canwest. Just wondering if you could take us back to your initial discussions with Gibson to acquire the business and whether or not there NGL wholesale business was contemplated as being part of the deal? Of course, now the business will be put up for sale, maybe you can comment on your interest level, how their wholesale operations might fit with your own. Whether or not you can pick up any additional synergies by skipping up that business?
Luc Desjardins: Very good question, Pat. When we acquired Canwest on the volume of 2017, it was 400 million leader of which 100 million we're taking over and supplying ourselves immediately for 2018, and then the other 300 million leaders we have to sign a five-year contract to buy from them now four to go. So there's no doubt we're - we get a good wholesale business, which is growing at [indiscernible] so one of the big reasons why the average price comes out. I just want to repeat that our average price of everything and every customer we have is not coming down at all. So that business to put the two wholesale business together is absolutely make sense. I think, it's new for them, I haven't even read anything about it yet. I think, they're preparing themself and they're announcing on a sell it we certainly will look at it. It makes sense for us from any points of view. 300 million leaders over the - ours coming to us in four years anyway and then what about the rest and, hopefully, I would have like to buy it when we did Canwest deal, they didn't want to go there and now they do. So we'll look at it will, hopefully, it's something we can manage to do, but when there's a lot of buyers and you're selling a business you never know if you're going to win, but we'll look at it seriously.
Patrick Kenny: And then, Beth, maybe you can just comment on the balance sheets and your guidance of ending the year 3x to 3.4x. Does that include an assumption for executing on any tuck-in acquisitions? Or could any acquisition activity push these ratios higher and then maybe if so, what ratio are you comfortable going to without having a come back to the market for equity?
Beth Summers: Yes. I think, from the perspective of the range that's their, from a tuck-in acquisition I wouldn't foresee that would push us over the range. So it would factor in room for that. If we did a larger transaction, obviously, that could have an impact. The way that and sort of as I have communicated previously, we look at it as we want to ensure that as we're doing acquisitions and we're above our long-term 3x target that over a period of time sort of 24 months period of time that would be coming back down 2x or 3x. So that's really the way that we will approach it and model it to determine when we were going to, if we're going to look from equity but from a tuck-in prospective we're fine it would only be for a larger transaction we potentially get there.
Operator: And our next question comes with a line of Raveel Afzaal from Canaccord.
Raveel Afzaal: Two questions. First, on the chlor-alkali. This business is definitely rebounding but I was wondering if you could put this business in historical context to the extent possible. Where was this business at its peak and where are we right now in the cycle relative to the peak that this business has seen in the past?
Beth Summers: Yes. Raveel, the best way to think about it from a pricing perspective we're getting very close to the peak. I'm going to talk about it sort of generally close to the peak, which would have been in 2014.
Raveel Afzaal: That's volume price?
Luc Desjardins: Yes, volume, yes. There's still a little bit room on pricing, we hope.
Beth Summers: Yes. It's from volume pricing. So we're close, which is why we talk about volumes, we're looking at them to be from an outlook respect of basically consistent modestly higher depending on the chlor-alkali product mixture for this year, 2018.
Raveel Afzaal: Perfect. And given that tuck-in acquisitions is now a very important part of your strategy and you guys are executing well on that. Can you speak a little bit about how the integration of these tuck-in acquisitions have gone? Have you really seen this valuation multiple of 6x EVP EBITDA comes down to 4x and if you could just talk about some of these acquisitions to highlight this point?
Luc Desjardins: Yes. Well, thank you, it's a very good question. We're extremely pleased with the acquisition, what we paid and all of them are performing better than anticipated and we're even in the state now. We have a project to integrate all the system, organize the sales, we're building propane. I mentioned earlier in the presentation that we're making more profit on wholesale, because we don't take business that's not profitable. That's not in our DNA to do things just for the sake of volume. So very - all the acquisitions are marching on to what we have anticipate, what our model was showing and even more. They're all above what we had planned.
Operator: [Operator Instructions]. Our next question comes from the line of Elias Foscolos from Industrial Alliance.
Elias Foscolos: Two questions. They are both related to Canwest. The first one is, over time, we're expecting $20 million in annualized synergies and if I quote $20 million to about 100%. In Q4, would you have achieved on average 10% [ph] or even more or was there nothing leading into that number?
Luc Desjardins: Q4 2017 or 2018?
Elias Foscolos: The reported quarter.
Beth Summers: The reported quarter, yes, I think, it would be fair to say it would be somewhere between 5% to 10% would have been achieved at that point in time and remember over the winter month from a business perspective and an operational perspective. The bulk of the integration activities, which will drive those run rate synergies will occur after the winter months so moving into that April timeframe when they'll be a substantial uptake in the percentage that would be achieved.
Elias Foscolos: Okay. Great. Thanks for that color. The next one is a bit of a follow-up on Patrick Kenny's question regarding the wholesale business from Gibson. Gibson has provided some sort of guidance range of EBITDA that they expect from that business and I was just asking if you'd want to comment on a range of - be rather wide about it, $5 million to $15 million potentially. Would you see that is a - something that's potentially out there 4 years from now?
Luc Desjardins: I don't know how to answer that, because we - like I said earlier, we haven't received the information with all the details. I think, we're - they're a couple of days away from doing that. And we'll study the last five years, where they're at, what we think is happening. We have a good sight on what's going on there. I mean, larger sales business. I like to think every business we manage we make more with it then what we're buying and moving it now with all the acquisition we have done in 2017, with our business model and the execution capabilities. So I don't know, it's hard to say more.
Elias Foscolos: I did want to push it in. I actually wasn't pushing towards the acquisition, assuming there is no acquisition. Five years from now you should reap some more synergies, would you agree with that? At a minimum will take it over?
Beth Summers: No, now I think, it's a little more clear now the underlying question you have. I think what you're asking when we bring - when we're no longer procuring through GGL or the Gibson company then what we - when we're procuring ourselves to whatever it means to the business?
Elias Foscolos: Correct, that is correct.
Beth Summers: Yes. I'm going to say, it's probably somewhere between $2 million to $4 million.
Operator: And I'm showing no further questions at this time. I would now like to pass the call back to Mr. Luc Desjardins for any closing marks.
Luc Desjardins: Thank you, very much. And I think, I've mentioned that I can't remember being in a better position, exciting, we're going to grow as we have planned and we have more proof of that. And don't forget the June 1, 1 King West in Toronto for the Investor Day. We're preparing, I think, we'll know bit more for the next - what's next quarter is going to look like and where we're at with some of those opportunities and we expect to put on a good show. We'll tell you all what's going to happen to this corporation and very, very optimistic about our 2020, where we're heading. Thank you, all.
Operator: Ladies and gentlemen, thank you, for participating in today's conference. This does conclude our program. You may now disconnect. Everyone, have a great day.